Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, Inc. Third Quarter Fiscal 2014 Operating Results Conference Call. My name is Kim, and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to your host for today, Mr. Mike Valentine, Chief Financial Officer. Please proceed.
Michael Valentine: Thank you, Kim. Good morning, everyone, and welcome to the JBSS 2014 third quarter earnings conference call. Thank you for joining us today. On the call with me today are Jeffrey Sanfilippo, our CEO; and Jasper Sanfilippo, our COO, both are traveling today and are participating by phone. Before we start, we want to alert you to the fact that we may make some forward-looking statements today. These statements are based on our current expectations, and they involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we’ve made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about these risks and uncertainties that are inherent in our business. Starting with the income statement, net sales for the third quarter of fiscal 2014 increased to $174.3 million in comparison to net sales for the third quarter of last year of 163.8 million. The increase in net sales was attributable primarily to an 8% increase in selling prices. The increase in selling prices arose as a result of higher acquisition costs for almonds and walnuts primarily. Sales volume, which we measure in terms of pounds sold declined by less than 2%. The volume decline was driven primarily by lower availability of certain grades of walnuts that are only suitable for in-shell, which impacted our volume in our export channel, and a smaller 2013 peanut crop which contributed to the overall decline in volume, and it also led to lower sales of raw bulk peanuts to other peanut processors in our commercial ingredients channel. Those volume declines were offset in part by 4% volume increase in our consumer channel. A 50% volume increase in sales of Fisher recipe nuts, and volume increases for private brand snack nuts primarily drove the volume increase in the consumer channel in the quarterly comparison. A significant increase in Fisher recipe nut volume was generated by increased in-store merchandising activity and a product line expansion to higher ounce-weighed packages. Net sales for the first three quarters of the current fiscal year increased to $576.1 million from 556.9 million for the first three quarters of last year. The increase in net sales and the year-to-date comparison came in from an 8% increase in sales volume. Sales volume increased significantly in the consumer, commercial ingredients and contract packaging channels. Sizable volume increases for Fisher recipe nuts and private brand snack nut and trail mixes were the main drivers of the volume increase in the consumer channel. The volume increase in the commercial ingredients channel primarily came from increased sales of almonds to a major customer. The commercial ingredient volume increase was also both through by increased sales of pecans to a major customer in that channel that implemented a product line expansion into pecans. New product launches involving almonds, trail mixes, chocolate and yogurt coated products that were executed by several key customers led to the volume increase of a contract packaging channel in year-to-date comparison. The third quarter gross profit margin declined to 13.1% of net sales from 14% of net sales in the last year’s third quarter, while gross profit dollars remain relatively unchanged. The decline in gross margin occurred because of selling price increases for almonds, mixed nuts which contain almonds and walnuts were not fully implemented until the end of January, while higher acquisition costs for almonds and walnuts impacted the entire month. Gross profit margin for the first three quarters of the current fiscal year decreased to 15.5% from 16.2% for the first three quarters of fiscal 2013. The decline in gross margin in the year-to-date comparison occurred largely as a result of competitive pricing pressures that existed in the first two quarters of the current fiscal year. The delay in implementing price increases for almonds, mixed nuts and walnuts that unfavorably impacted the current third quarter also contributed to the gross margin decline in the year-to-date comparison. The decrease in gross margin was offset in part by manufacturing efficiency improvements achieved during the current fiscal year. Total operating expenses for the current third quarter decreased to (technical difficulty) sales from 11.9% of net sales for the third quarter of last year. The decline in total operating expenses as a percentage of net sales was driven by lower incentive compensation and advertising expenses. Advertising expense fell primarily because of later Easter holiday, which falls into our fourth quarter of this year. Total operating expenses for the current year-to-date period decreased to 9.4% of net sales from 10.5% for the first three quarters of last year. As what’s the case in the quarterly comparison, total operating expenses as a percentage of net sales declined due to reductions in incentive compensation and advertising expenses. The decrease in total operating expenses in the year-to-date comparison also was attributable to $1.6 million gain on the sale of our regional Elgin site occurred in this year’s second quarter. The regional Elgin site was originally purchased in 2006 for a facility consolidation project. The lower total operating expenses was offset in part by increased shipping cost, chiefly from increased sales volume in the year-to-date comparison. Interest expense declined slightly to $1.1 million from $1.2 million in the quarterly comparison, and interest expense declined to $3.2 million from $3.5 million in the year-to-date comparison. Interest expense declines in both comparisons were attributable to lower average borrowing levels during those respective periods. As a result of the factors that we’ve discussed so far, net income and earnings per share for the current third quarter were the highest ever reported by the company for any quarter that ended in March. Take a look at inventory; value of total inventories at the end of the current third quarter increased significantly by $31.3 million or almost 19% compared to total inventory value on hand at the end of third quarter last year. The increase in the value of total inventories was driven primarily by increased acquisition cost for pecans, walnuts and almonds, while quantities of raw nut input stocks were lower. The higher acquisition costs for pecans, walnuts and almonds led to an approximate 23% increase in the weighted average cost per pound for our walnut input stocks in the quarterly comparison. I’ll now turn the call over to Jeffrey Sanfilippo, who will provide additional comments on our performance in the current quarter. Jeff?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. We had a strong fiscal 2014 third quarter for the company, achieving record net sales, net income and record earnings per share. We are especially pleased with the performance of our Fisher recipe brand during the current quarter as pounds sold increased by 50% over pounds sold in the third quarter of fiscal 2013, and pound and dollar market share also increased significantly in the quarterly comparison. I want to thank our Fisher sales and marketing teams for this remarkable accomplishment, especially when we consider the later Easter holiday this year. As I’ve mentioned on previous earnings calls, in addition to building JBSS brands, our company has focused on creating value through differentiated products, packaging and consumer insights. Our strategy of leveraging our innovation and manufacturing capabilities to grow our business with key non-branded customers also allowed us to realize significant volume gains with many of our major private brand, contract manufacturing and commercial ingredient customers. I’d like to touch on a few highlights of our strategic growth plans. First, grow JBSS brands. This is our company’s third year only in the Orchard Valley Harvest brand. Since JBSS purchased the brand, our sales and marketing team overhauled the product and packaging portfolio to meet the growing demand from consumers in the produce section looking for healthy snacks. The Fisher recipe brand outperformed the category with strong volume increases in pecans, walnuts and almonds. We expanded the product portfolio this year and added larger club pack sizes. In addition, we expanded our in-store merchandizing efforts, which were very successful in gaining incremental business. Key performance measures such as distribution, velocity and volume are all growing. From looking at category brand share, excluding the club channel, Fisher is the number one recipe nut brand in the country today. Fisher snack nuts, we believe there is a great deal of brand equity in our Fisher snack nut program. And our company just launched an innovative new product just with retail sales within the past four weeks. The product is called Fisher Nut Exactly, and contains almonds, popcorn with a splash of dark chocolate. We’re optimistic about the initial sales and feedback that we’ve received from consumers. Turning to expand globally, we continue to develop our Fisher brand business in China by improving our distributor network and leveraging our presence in China through sensibly posting high-trading company LTD to support our long-term business strategy. Sales of our Fisher specialty pack for Chinese New Year was very successful with substantial growth versus prior year sales in spite of the overall CNY Holiday in China, the sales result in the country were lower due to changes in government policies on gifting as a result of our security measures. Turning to the sales review by business channel, consumer. Net sales in the consumer distribution channel increased by 10.7% in dollars and 4.2% in sales volume in the third quarter of fiscal 2014 compared to the third quarter of fiscal 2013. The increase in volume in the consumer distribution channel as Mike mentioned was driven by a 50.2% increase in Fisher recipe volume and 3.6% increase in sales of private brand snack nuts. In our commercial ingredient channel, net sales increased by 3.9% in dollars, but decreased 6.8% in volume in the third quarter of fiscal 2014. Sales volume decrease in the quarterly comparison is primarily attributed to decreased peanut volume to just smaller crop compared to the same quarter of the prior year. In the international channels, net sales in the export distribution channel decreased by 13.8% in dollars and 26.1% in sales volume in the third quarter. The decrease in the quarterly comparison is due primarily to decrease in amounts of bulk in-shell walnuts as Mike mentioned available for export and decreased sales of peanut products. Now, let’s look at consumption trends in the snack recipe and produce categories. Our market information is reported through IRI dated March 23, 2013, and when I refer to Q3 I’m referring to 12 weeks of the quarter ending March 23rd. References to changes in volume or price are versus the corresponding period one year ago. We look at the category and IRI’s total U.S. definition which includes food, drug, mass, Walmart, military and other outlets. When we discussed pricing we are referring to average price per pound. The total nut category increased 3% in pound volume and 5% in sales dollars in Q3. We saw a growth in snack nut pound sales, but recipe and produce net pound volume decreased due to higher prices. The snack nut category had a successful Q3, increasing 7% pound volume sales and dollar sales. Pound growth came from virtually all major nut types due to declines in average selling prices on peanuts, cashews and mixed nuts. Almonds also grew 5%, despite a 10% increase in the average prices. Although we did see offsets to consumer demand in other parts of the store for almonds. Our Fisher snack net business increased in volume into our sales versus Q3 of last year, up 13% and 12% respectively. The growth was fueled by an 18% increase in non-promoted sales. This growth was driven by a 16% increase in total points of distribution and a 19% increase in pound sales per point of distribution. Private brand increased 14%. The private brand increases were driven by a 23% increase in merchandized sales. The recipe category decreased 5% in pound volume, and increased 7% in dollar sales versus last year. The pound volume declines were driven by higher prices of 12% on average. The greatest decline was seen on almond sold in the recipe nut section as prices jumped 24%. It looks like consumers responded to the almond price increase in recipe nuts by switching their purchases to the snack aisle, because your recipe continues to gain momentum behind the strategy of growing distribution, increasing merchandizing activity and building equity. Both Fisher recipe and nut pound volume and sales dollars is measured by IRI increased by 23% in Q3 versus last year. Factors driving this growth included an increase of 21% in merchandized volume and 12% increase in total points of distribution. The Fisher brand continued its sponsorship of the food network and celebrity Chef Alex Guarnaschelli, which was launched last year. The produce category declined in both pound volume and dollar sales, 6% and 1% respectively. The decline was driven by pistachios which decreased 22% in current versus last year. Orchard Valley Harvest brand was flat in dollar sales and increased 4% in pound sales. Total points of distribution for OVH increased 40% and merchandizing increased 6% leading into 120% increase in unit sales per point of distributions. Turning to a quick overview of nut markets, we have seen acquisition cost for domestic tree nuts increased in the 2013 crop year which follows into our current 2014 fiscal year. On the positive side although there was significantly reduced acreage planted for the 2013 crop year, we have recently observed the decline in peanut prices back to normal levels this year due to the lingering impact of the large carryover from the record 2012 crop, which fell into our fiscal 2013 year. In spite of fluctuating nut markets, our company continues to pursue opportunities to mitigate the margin impact of volatile material costs. We are focused on expanding our product portfolio with other snack and ingredients to complement our snack nut items. We continue to focus on better aligning cost of our inventory positions with selling prices and we continue to work on continuous improving projects that generate manufacturing efficiencies and operating cost reductions. In closing, I am pleased with our record top line results, net income and EPS in the third quarter of fiscal 2014. Overall, our strategies are working well and we intent to stay the course. I am optimistic about our ability to grow our brands, expanding emerging international markets and create value for key global food retailers, manufacturers and distributors. And I am excited about the pipeline of projects and new product introductions we will launch in the near-future. The management team remains focused on consistent execution of our corporate plans to create shareholder value. And each of our employees is focused on improving quality and service, enhancing operational efficiencies and reducing cost throughout the supply chain to create value for our customers. We appreciate your participation in the call, and thank you for your interest in our company. I’ll now pass the call back over to Mike.
Michael Valentine: Okay. Thank you, Jeffrey. We will now open the call to questions. As I mentioned earlier both Jeffrey and Jasper are calling in separately. So if you have a question for either one of them, if you would be kind enough to name them in your question; that would be very helpful. Kim, can you please queue up the first question.
Operator: (Operator Instructions) Your first question comes from the line of Francesco Pellegrino line from [John B Sanfilippo] (ph). Please proceed.
Francesco Pellegrino - Sidoti: Hi, guys. This is Francesco Pellegrino of Sidoti. It looks like it was a rather good quarter. I wanted to tell one thing that I noticed in the release that referred to the larger package sizes by total weight that seems to be a new staple for the product line. Going forward, do you think you will start to see larger package sizes come into the production cycle? And is this more of demand by the consumer to sort of have larger purchasing power in terms of buying in larger quantity for cost savings?
Michael Valentine: Jeffrey, can you take that question?
Jeffrey Sanfilippo: Sure. That’s a good question. So what we have seen is especially from grocery they are competing heavily with the club stores and club-sized packages. And so there has been an interest in offering larger sizes in grocery, in typical grocery retailers. And that’s where we have seen the growth recently. So our defensive needs to compete with club packs, but at the same time because the nut category is growing and consumption is growing. There is a value proposition as well for consumers in the grocery aisle to purchase larger sizes of packages.
Francesco Pellegrino - Sidoti: If the consumer is asking for larger packages, but they are also making a transition over from nuts to different types of snack products, the downward pressure that this would have on your gross margin I would think would be considerable to a point that the consumer is willing to make less frequent purchases, but the purchases that they do make are going to be larger. So is there going to be an issue of turn over going forward in terms of inventory possibly staying on store shelves longer than anticipated?
Jeffrey Sanfilippo: You will see the shelf space, because obviously that the larger packs pick up more room so that the retailers will carry less units of the larger packs and they do currently have their smaller pack sizes. So I don’t anticipate bigger inventories being held by the retailer is just going to be less units, but similar amount of pounds. So we should anticipate it as a lower unit volume, but maintain our increase in the amount of pounds.
Francesco Pellegrino - Sidoti: And do you think the consumer is able to understand the increase in price that is going to be passed on to and then just based up on they are going to be getting a larger quantity product that they are going to have to pay up for, but on a per unit basis it’s going to be less.
Jeffrey Sanfilippo: Yes. So you will need to have smart consumers. They look at that per ounce cost when they are looking at the shelf tags. So they have very, very understanding of what that dynamic looks like from a price standpoint for them. We do not calculate paying up although that higher price for the total package, because it will sit in their cabinet maybe longer. But they are very aware of what that per ounce unit cost is.
Francesco Pellegrino - Sidoti: For the transition of our two larger packages should not necessarily be flawless, but the consumer understands the thinking behind strategic move instead of smaller snack sizes in terms of the 100 calories bags that we have been seeing coming on to the market. It seems that this is a different approach, but the consumer has to sort of control their own consumption pattern.
Jeffrey Sanfilippo: Correct.
Francesco Pellegrino - Sidoti: All right, interesting.
Jeffrey Sanfilippo: Yeah, and those two has both options as well as opportunities for the smaller packs, but really the new larger size club packs are relatively new for the grocery category.
Francesco Pellegrino - Sidoti: All right. And just one last thing, I noticed the Fisher Nut Exactly, I know that the product is in its early infancy stages. It has been on the market for four weeks. Any feedbacks that you are getting from retailer chains in terms of the type of penetration it’s been able to (indiscernible) by the consumer?
Jeffrey Sanfilippo: Right now we are just getting consumer feedbacks and it’s fairly too early to answer that question at this point. We are just -- obviously from the feedback we have heard from consumers as we have done in [fast] (ph) markets, and in-store monitoring of the sales.
Francesco Pellegrino - Sidoti: And you go into any threshold that you are looking for this line to establish over the next quarter, next half year and next year for the company to significantly start investing into growing out this product line?
Jeffrey Sanfilippo: Yeah. Again, it’s really new. What we are just getting as far as how it’s doing in markets, we will have more on that in future calls. But at this point it’s still too early to talk about it.
Francesco Pellegrino - Sidoti: All right. Thank you, guys.
Jeffrey Sanfilippo: Thanks.
Michael Valentine: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Bruce [Winter] (ph). Please proceed.
Unidentified Analyst: Yes, thank you. How is your plan of increasing your international business particularly in Asia coming along?
Jeffrey Sanfilippo: Well, we’re still in the process of building the infrastructure in China. We had, like I mentioned on the call a strong Chinese New Year (indiscernible) get packed that we created for the market. And so, it’s really initial stages of building the distribution. We are happy with the current distribution we have. We have got good strong distributors in a couple of key markets in China, but again it’s just the initial phases of building that from there. We have also done some focus groups in market and looked at some new pack styles and different products for the Chinese consumer. So it is taking some time to build the distribution, but we think we are on the right course and have a good infrastructure now to start adding to that volume.
Unidentified Analyst: It sounds good. About six months ago, I asked you what are the factors out of your control that are going to affect your results this year and there were competitive conditions in nut supply. I guess nut supply you’ve covered, what about the competitive conditions?
Jeffrey Sanfilippo: Obviously it’s extremely competitive market like most industries are. We have got the big branded players that are investing in the category. We have got tighter brand competitors as well. They are investing, but we -- I think we have done a great job managing our pricing, managing our prices in margins in the category, but still something we have no complete control with what our competitors do.
Unidentified Analyst: Okay, thank you.
Jeffrey Sanfilippo: Thank you.
Operator: Your next question comes from the line of Ron Strauss from Pekin Singer. Please proceed.
Ron Strauss – Pekin Singer: Gentlemen, I take my hat off to you. As you know, I’ve following your company for a long time, all the headwinds are vanished and you’ve got nothing but tailwinds it seems except for your raw material costs. And I take my hat off to you. You manage this business quite well. And let me ask a question if I could, did I hear you say that you are number one in recipe nuts now?
Jeffrey Sanfilippo: We are. If you exclude the plugs channel, we are the number one brand at peanuts now.
Ron Strauss – Pekin Singer: Is that for a four-week period or 16-week period or …
Jeffrey Sanfilippo: (Indiscernible) I believe it’s a 16-week period run. I think within the last couple of months we’ve achieved that.
Ron Strauss – Pekin Singer: That’s great. I wonder if you could elaborate on the incentive compensation reduction that occurred in the quarter.
Jeffrey Sanfilippo: Mike, do you want to cover that?
Michael Valentine: Can we disclose too much?
Ron Strauss – Pekin Singer: No, not so much came out, but why? If you want to disclose, it will be not that fine.
Michael Valentine: Well, actually I think it is in the queue. This is Mike, Ron. As you know we are an EBA company and the way EBA based incentive plans are designed, it’s based on improvement, and we have to achieve a certain minimum amount of improvement which goes to stockholders and then anything we do over that then goes to the participants in the plant. This year we have accrued a smaller amount for bonus expense, pretty significantly small amount than we did last year, but also keep in mind that in the last two years we far exceeded our 1 X targets in respect to improvements. So I just want to be clear, we’re still -- I believe we’re going to pay a bonus to our employees this year, but it won’t be where it was over the last two years.
Ron Strauss – Pekin Singer: Okay. Good. That’s all I had. Thank you very much.
Michael Valentine: Okay. Thanks, Ron.
Jeffrey Sanfilippo: Thanks, Ron.
Operator: (Operator Instructions) Okay. Ladies and gentlemen, this concludes our question-and-answer session. I’ll now turn the call back to Mr. Michael Valentine.
Michael Valentine: Okay. Thanks, Kim. Again, thank you everyone for your interest in JBSS, and this concludes the call for our third quarter 2014 operating results.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.